Operator: Good morning, everyone, and welcome to The CMS Energy 2018 Year-End Earnings Call. The earnings news release issued earlier today and the presentation used in this webcast are available on CMS Energy’s website in the Investor Relations section. This call is being recorded. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions] Just a reminder, there will be a rebroadcast of this conference call today beginning at noon Eastern Time running through February 7th. This presentation is also being webcast and is available on CMS Energy’s website in the Investor Relations section. At this time, I would like to turn the conference over to Mr. Sri Maddipati, Vice President of Treasury and Investor Relations.
Sri Maddipati: Good morning, everyone, and thank you for joining us today. With me are Patti Poppe, President and Chief Executive Officer; and Rejji Hayes, Executive Vice President and Chief Financial Officer. This presentation contains forward-looking statements, which are subject to risks and uncertainties. Please refer to our SEC filings for more information regarding the risks and other factors that could cause our actual results to differ materially. This presentation also includes non-GAAP measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in the appendix and posted on our website. Now, I’ll turn the call over to Patti.
Patti Poppe: Thanks, Sri, and good morning, everyone. Before I review our results for the year, I do want to touch on what you’ve likely heard in the media. Michigan and the Midwest are experiencing extremely cold temperatures, which are attacking energy delivery throughout myself and driving record demand on our gas system. The Governor of Michigan has declared a state of emergency given the dangerously cold weather. Our number one priority is to keep people safe and warm. We’ve seen record demand on our system, and while we are working hard to meet that demand, we did have an incident at our Ray storage field, which is now partially back online. But given the weather and demand, we have asked our customers to reduce their gas usage by turning down thermostats and conserving energy across the state. We thank all of our customers who are doing their part to help Michigan crews in dangerous weather, which we expect to last for the next 24 hours. 2018 was a solid year for CMS which Rejji and I will walk through in great detail in addition to sharing the Company’s 2019 goals with the usual emphasis on the triple bottom line. With another year in the books, we’re pleased to report adjusted earnings of $2.33 per share, which is toward the top end of our guidance range as planned. Building on those results, we have raised our 2019 full year guidance range from $2.46 to $2.50 per share, up by a penny to $2.47 to $2.51. This reflects growth of 6% to 8% on top of actuals, as we do every year with a bias toward the midpoint of 7%. It’s also worth noting that earlier this month, the Board voted to increase our 2019 annual dividend to $1.53 per share, a 7% increase year-over-year, which was in line with our earnings growth. And we are reaffirming our long-term dividend growth plans as being in line with our earnings growth. As we look back at 2018, Slide 5 serves as a great snapshot of our triple bottom line in action as we worked hard for our people, our planet and our investors. In fact, we were able to reduce customers’ bills by more than $160 million as a result of tax reform and provided over $10 million to our most vulnerable customers to help them pay their bills. We also released our clean energy goal and filed our integrated resource plan or IRP that firmly solidified our promise to care for our planet by eliminating coal as a fuel source and producing over 40% of our energy from renewables at the utility by 2040 with up to 6,000 megawatts of new solar and reducing our carbon emissions by more than 90% during the same period. We also expanded our renewable portfolio at enterprises with 105 megawatt wind PPA with General Motors and a 24-megawatt solar project for the municipality in Lansing, Michigan. And our triple bottom line is underpinned by our coworkers’ performance operationally. We had a busy year, as we’ve replaced over 13,000 vintage gas service line. We also spent a record amount on forestry at our electric business improving both the safety and reliability of our system. These achievements and others listed on this slide would not be possible without our investors, both large and small. We’ve entrusted with us their savings and we thank them for that. Without the broad access to cost effective capital from our investors, we would not be able to make the necessary investments to provide safe and reliable energy to our customers. As we entered 2019, we’re now laser focused on delivering for our customers and investors in the current year and preparing for 2020 and beyond. I can tell you safety is top of mind this year and that as it was last year and the year before that. From boots on the ground to safety in the office, every meeting and every job begins with, what we call, a safety tailboard. All potential hazards are discussed before the job begins and necessary precautions are addressed each day. That may seem simple and may be not that important. I can assure you creating and improving a safety culture requires daily attention and all of us here take that very seriously. Beyond that, we are planning to invest over $100 million more than the prior year and improving safety in both our gas and electric systems, so that our co-workers and customers are safe. This year, we will continue to focus on enhancing our customers’ experience through targeted programs, increasing economic growth in our home state and protecting our planet, all while staying focused on our commitment to investors to deliver the financial results you’ve come to expect. Our priorities are enabled by our implementation of the Consumers Energy Way which allows us to see and eliminate waste in all of our processes. Slide 7 highlights our success in attracting new businesses in Michigan. In 2018, we proactively saw and attracted 101-megawatt to load. This is up from 69 megawatts in 2017. This load growth includes key wins from large Internet-based retailers, dairy manufacturing farms and many other industries that chose to bring their business to our state and trusted us to meet their energy needs. We’re proud of these wins and the associated economic growth that they offer including over 5,500 new jobs and $2 billion of investment in our home state just last year. We will also highlight that less than 2% of our customer contributions are from the auto industry, leaving us less vulnerable to any one sector of the economy. And we know that when Michigan grows, CMS Energy grows. And we will continue to support economic development that will diversify our customer base. As we continue to focus on delivering safe, reliable and affordable energy for our customers, our performance is further enabled by our energy law, which provides a constructive regulatory framework and supports a forward-thinking energy policy. Today, we have an open seat at the commission as Rachael Eubanks has been appointed to State Treasurer by our new Governor. We’d like to take this opportunity to congratulate the former Commissioner Eubanks and wish her great success as Treasurer of Michigan. I have no doubt that she’s going to do a great job. We expect the Governor, Whitmer, will appoint a new Commissioner soon with two seats currently filled at the Commission. We do have a quorum as evidenced by the recent approval of our electric settlement in early January, and we look forward to working with the administrations pending the point he wants publicized and whoever replaces Commissioner Saari in July, when his term is scheduled to expire. As we look ahead to the regulatory calendar over the next couple of years, you will see less rate cases given that we managed and settled excessive gas and electric rate cases to close out 2018. The electric rate case outcome was particularly noteworthy since it occurred eight months after our filings and it’s only the second time in our Company’s recent history that we have settled an electric rate case. The highlight of the settlement includes $200 million for reliability investment, that’s $70 million more than ever before plus the ability to true-up costs related to CapEx spending in new business for demand failures and asset relocations. This settlement allows us to avoid filing a new rate case until 2020. Our IRP filing is on track for a final order in the second quarter. We anticipate an order in our demand response filing and our final piece of tax reform related to deferred taxes in the second half of this year. Lastly, in November, we filed our gas rate case for $229 million at 10.75% ROE with a 12-month test period ending September 2020. This rate case will focus heavily on safety, as we look to replace around the 140 miles of main and 25,000 vintage services among other gas investments. The weather we’ve been experiencing further highlights the need to continue to invest in our gas system to ensure safety and reliability. We expect a commission order by September of this year. As we turn to Slide 10, we’re reminded of the work that our team does every day to adapt changing condition. As you can see, in 2018, we benefited from weather and we put those dollars back to work, which derisk 2019. We were able to leverage the early favorability to benefit our customers very effectively in the calendar year. If we experience poor weather and significant storm activity in 2019, we will rely on those pull aheads from the prior year, our lean operating system and our ability to optimize work to maximize safety and reliability for the benefit to customers. This strategy allows us to deliver on our financial objectives in the current year while providing a longer runway for our growth in the future. As Slide 11 shows, we’ve proven our ability to deliver regardless of who is in office to make up of the commission for varying weather or economic conditions. I have said it before, the part of what makes us consistent is our ability to adapt changing external conditions, and we look forward to working with Governor, Whitmer, and the Commission to serve our friends and neighbors. And now, I’ll turn the call over to Rejji.
Rejji Hayes: Thank you, Patti, and good morning, everyone. As Patti mentioned, we’re pleased to announce our strong results for 2018 with adjusted earnings per share of $2.33, up 7% in 2017 and towards the high end of our guidance as we’ve predicted. Our adjusted EPS largely excludes modest non-recurring costs associated with select legal legacy business matters and federal tax reform, which resulted in a net difference of $0.01 per share between our adjusted and GAAP EPS. As is often the case, we do not carve out much and take the good with the bad with no excuses. Our 2018 results were largely driven by weather and rate relief net investments of the utility, as highlighted on the right hand side of Page 12, which were partially offset by substantial reinvestment activity or pull aheads as we refer to them particularly in the fourth quarter. We had adjusted earnings of $0.40 per share for 2018 compared to $0.51 per share in the Q4 2017. In addition to a record level of operating pull ahead in 2018 of the utility, we also capitalize on non-operating pull aheads by prefunding multiple debt tranches at the parent which is a key driver of the negative variance in our parent and other expense versus guidance. As Patti noted, the numerous reinvestment actions taken in 2018 benefit our customers by enhancing service and reducing costs, while serving to derisk our 2019 financial plan to benefit investors, which I’ll cover in more detail shortly. Closing the books on 2018, Slide 13 lists all of our financial targets for the year and our success in achieving them. I’ll highlight a couple of noteworthy items in addition to achieving 7% annual EPS growth. We grew our dividend commensurately and generated over $1.7 billion of operating cash flow, which exceeded our guidance and was roughly flat with the prior year as anticipated, due to the effects of federal tax reform. Our steady cash flow generation and conservative financing strategy over the years continues to fortify our balance sheet as evidenced by our strong FFO/debt ratio, which is at approximately 18.5% at year-end and also exceeded our expectations. It is worth noting that our outperformance for FFO to debt was in part driven by the prescribed pace which the benefits the federal tax reform when corporate entry, which enables us to issue less equity than we initially anticipated in 2018. Lastly, in accordance with our self-funding model, we kept annual customer price increases below inflation for both the gas and electric businesses, all while investing a record level of capital of approximately $2 billion at the utility. Moving to 2019, as Patti highlighted, we’re increasing both the bottom and top end of our 2019 adjusted EPS guidance, $2.47 and $2.51, which implies 6% to 8% annual growth of our actuals for 2018. Unsurprisingly, we expect the utility to drive the vast majority of our consolidated financial performance, and we continue to target the midpoint of the EPS growth rate of 7%. To elaborate on the glide path to achieve our 2019 EPS guidance range, as you will note on the waterfall chart on Slide 15, we plan for normal weather, which in this case amounts to $0.27 negative year-over-year variance given the better-than-normal weather experienced in 2018. However, as I highlighted in our third quarter call, we have largely mitigated that headwind with the substantial reinvestment activity that we exercised in 2018. More specifically, we made a number of discretionary pull aheads in 2018 that we do not need to repeat in 2019. The operational and financial flexibility afforded by these efforts coupled with our usual level of expected cost performance did result in a $0.27 positive year-over-year variance which fully offsets the absence of the favorable 2018 weather. And while we’re on this topic, I would be remiss if I didn’t take a moment to thank all of our coworkers for their hard work throughout 2018. While the customer and financial benefits and pull aheads are relatively easy to identify, what’s often underappreciated is the organizational burden that pull aheads create since we don’t usually outsource incremental work and our coworkers effectively doubled their efforts to get this work done. As mentioned, we have mitigated some of our regulatory risk in 2019 with positive outcomes in the early settlements of our previous electric and gas cases. We also have a pending gas case as Patti noted, which in order is due in late September. Keep in mind we are showing the net pickup after the impacts of investment-related costs such as depreciation, property tax and interest expense. We have also embedded the usual conservatism in our assumptions around the sales and financing activity. Please refer to appendix Slide 25 on EPS and OCF sensitivity analysis, unsaid variables among others. As you can see, due to our significant reinvestment activity in 2018 and the constructive regulatory environment, we have a reasonable path to deliver another year of 6% to 8% adjusted EPS growth. Our focus on cost controls, conservative financial planning and proactive risk management underpin our simple but unique business model depicted on Slide 16, which enables us to deliver consistent industry-leading financial performance year-end and year-out. We have a robust backlog of capital investments, which improves the safety and reliability of our electric and gas systems for our customers and drives earnings growth for our investors. We fund this growth largely through cost cutting, tax planning, economic development and modest non-utility contribution, all efforts, which we deem sustainable in the long run. As such, we are confident that we can continue to improve customer experience through capital investments while meeting our affordability and environmental targets for many years to come. As you can see on Slide 17, we have updated our five-year customer investment plan by rolling it forward one year, as we often do on our Q4 call. This adds an additional $1 billion of capital investment, bringing the five-year plan to $11 billion in aggregate, roughly half of which is comprised of gas infrastructure investments. We continue to focus on the needs of our aging gas system. As reflected in the forecast, increase in gas as a percentage of total rate base from 30% to 40% over the next five years, which drives over 7% rate base growth. Please note the annual details of this plan are included in the appendix of this presentation. Our capital investment needs remain significant beyond the five-year period as well. As we work through regulatory proceedings in our financial planning cycle, we expect that the longer-term capital mix will continue to evolve. And we look forward to providing an update to our 10-year capital plan in the second half of the year once we have better visibility on the long-term capacity plan for the outcome of our IRP. As we highlighted in past, the primary constraint on the pace, which we invest capital is customer affordability. And we are confident that we can continue to deliver cost reductions to minimize customer bill increases. Our numerous capital investment programs will enable reduced maintenance costs on items such as service restoration, leak repair and meter reading among other benefits. We will also benefit from power purchase agreements rolling off in due time, while also realizing fuel and O&M expense savings as we retire our coal fleet. Speaking of the coal fleet, I am pleased to report that we have recently renegotiated our fuel transportation rates, which will yield over $150 million in customers savings customer savings cumulatively over the life of the new contracts. We also continue to seek out non-operating cost savings opportunities. In addition to over $1.2 billion of opportunistic refinancings collectively at the parent and utility in 2018, we contributed $240 million into our pension plan in late December to increase the funded status of our pension plans to approximately 90%. This sizable discretionary contribution coupled with prudent decisions of the past such as closing our defined benefit plan several years ago, utilizing conservative asset return expectations, employing a balanced asset allocation strategy among others, has more than offset the unfavorable asset performance experienced in 2018. In fact, we are estimating about $6 million reduction in our pension expense in 2019 versus 2018 as noted in the appendix. To put our strong cost controls into perspective, on the right hand side of the slide, you will note that our residential electric and gas bills have decreased on an absolute basis and as a percent of wallet for Michigan residents from 2007 to 2017 despite nearly $15 billion of capital investment over that time frame. Looking now at our operating cash flow forecast on Slide 19, as mentioned, we received some upside in OCF in 2018, due to the pace which the benefits of federal tax reform were incorporated into rates. And some are O&M, we took measures to derisk our 2019 plan, most notably through the aforementioned pension contribution and solid working capital management. As such, we continue to target $1.65 billion of OCF in 2019 and still anticipate a $100 million per year increase beginning in 2020. In aggregate, we are forecasted to generate over $9 billion of cumulative operating cash flow over the next five years, which will play key role in the financing strategy of our five-year capital plan. In support of our liquidity planning, we also expect to avoid paying meaningful federal taxes through 2023. This is the result of strong tax planning and the forecast layering in of renewable tax credit as we meet the 15% RPS standard in Michigan by 2021. And some are forecasted OCF generation coupled with our tax shield portfolio enables us to continue to finance our capital investment program in a highly cost efficient manner as you will note on Slide 30 in the appendix. On Slide 20, you will note that we have refreshed the outlook for DIG to reflect positive new developments in our energy contracts. In short, we have successfully amended and extended our existing energy contracts and entered into a new contract at our simple cycle unit in Kalamazoo. The revenue associated with these contract revisions has allowed us to weather the challenges presented by lower capacity prices and we’ve reflected this in our guidance for 2019 and our plan going forward. As you can see, DIG is almost fully contracted for energy and capacity through 2022. So we feel quite good about maintaining the $35 million pre-tax income run rate. Also if capacity prices were to revert back to recent history, around $3 per kilowatt-month that we could see an additional $10 million to $15 million of upside. Alternatively, as the market were to tighten the levels comparable and MISO Cost of New Entry, or CONE due to looming coal retirements or the establishment of the local clearing requirement and this opportunity can more than double. Suffice it to say, the enterprise team has done an excellent job of managing risk and reducing the beta in their portfolio for the foreseeable future. On Slide 21, we have listed our financial targets for 2019 and beyond. In short, we anticipate another solid year of 6% to 8% EPS growth with a bias toward the midpoint. This model has and will continue to serve our customers, well, as they see affordable electric and gas prices from our self-funding strategy as well as our investors who can continue to count on consistent industry-leading financial performance. As we look prospectively at the consolidated business, our EPS growth continues to be driven by our utility given its robust capital investment needs and forward-looking filings such as the IRP and forward-looking filings, excuse me, such as the IRP provide long-term transparency for key stakeholders, which should provide more visibility regarding regulatory outcomes in the future. Outside the utility, we’ll continue to operate our enterprises business with a low-risk mindset. When we couple our earnings contribution with contracted non-utility growth and prudent financial planning, you can see why we have confidence in our ability to continue to grow at 6% to 8% over the long term. With that, Allison, please open the lines for Q&A.
Operator: Thank you. [Operator Instructions] Our first question will come from Jonathan Arnold of Deutsche Bank. Please go ahead.
Jonathan Arnold: Good morning, guys.
Rejji Hayes: Good morning, Jonathan.
Patti Poppe: Good morning, Jonathan.
Jonathan Arnold: And thank you for the update and good luck getting the – keeping everyone warm out there.
Patti Poppe: Given our best.
Jonathan Arnold: Just a quick – just Rejji, this might be for you, but I think you’ve given us quite the granularity on timing of spend by segment, at least not recently. So can you perhaps help us see where the $1 billion of incremental electric investment installing, it looks like 2020 and 2021 are the peak spend years. But I’m just not sure what those were before.
Rejji Hayes: Happy to do that. Yes, so you’re right, we do crossed over the five-year period in 2021 and that has a lot to do with the renewables and the trajectors and giving them timing of the tax credits. But if you look at the $11 billion in our new five-year plan versus the $10 billion in our prior vintage, the real difference is, one, you’ve got about $0.25 billion of renewables flowing through our electric supply spend and that again is the gas to the 15% RPS. And then you’ve got about a commensurate increase in electric distribution and gas infrastructure and as we roll forward one year. So I’d say it’s a combination of those three things. Incremental renewables, electric distribution spend as we roll our five-year distribution plan one year forward and then an uptick in gas infrastructure spend. So it’s really those three things, Jonathan.
Jonathan Arnold: So the revenue – I feel the renewables – $1 billion of renewables was already in the plan – the prior plan.
Rejji Hayes: We had it close to those levels. I’d say we were probably about $0.25 billion south. We were in that zip code, but at the end of the day, we wanted to make sure that the renewables we had in the prior plan and this plan reflected what we’re seeing in our renewable energy plans that we filed in the RFPs.
Jonathan Arnold: Okay. And it’s a similar topic, last quarter, I think you said you were planning to give an update to the 10-year view on capital late – sometime later this year, you still think you’ll do that and any sense of timing and what you’re specifically waiting for before you do it.
Rejji Hayes: Yes. So we would foresee rolling out a new 10-year plan by the second half of this year as we mentioned in Q3 and prior to that, I think I mean the real gating item is, we see it, is the IRP. And so we’re going to get most likely a preliminary point of view from the commission in April of this year. We get 60 days to respond to that. And so that will most likely play itself out by midyear at which point we’ll have better visibility on our electric supply spend over the next 10 years, particularly in those outer years, because that’s when you start to see a ramp-up of, I’ll say, renewables-related spend. So that’s a key data point. And at the end of the day, we also have to spend a good deal of timing internally making sure that we can solve the customer affordability equation and would be irresponsible to roll out a capital plan that we couldn’t when I say we, our customers and/or our balance sheet couldn’t afford. And so we want to get all of that math right before we roll it out. I can say with great confidence that the 18 billion that we rolled out in the prior vintage in September of 2017 is well stale and we expect it to be higher than that, but want to spend some more time figuring out how much higher.
Jonathan Arnold: I mean, would it be reasonable to think it would be more than double the five-year plan given the need to kind of – the compounding effects?
Rejji Hayes: It’s premature to guide you at this point. We had said that, we think there’s about a $3 billion capital investment opportunity in the IRP in the outer years. And so we would feel pretty comfortable saying that we will likely be included in the new plan. And also we’ve talked about this sensitivity in the past, where basically every $60 million or 1% reduction we can achieve in rates creates about $400 million of incremental capital investment capacity. And so if you think about our PPAs rolling off, if you think about some of the cost savings we expect as we retire the coal fleet over time on O&M and fuel side, we do think it’s going to create substantial headroom to accommodate additional spend. So I’d hate to guide you at this point and give you a directional number, but we think it will certainly be in excess of $18 billion.
Jonathan Arnold: Okay. One final thing, how certain are you guys, you’ll need to file another electric case in 2020? Is there a chance to get under the settlement you could potentially go longer?
Patti Poppe: I think given the needs of the system, it’s likely that we will file in 2020, Jonathan. We have the settlement this year. We’re so happy about it, because it does enable certainty in our reliability spend and we don’t have to trade off with some of the other more variable programs that often compete for the capital dollars on reliability, because we have this new regulatory mechanism, but it isn’t, we didn’t sell for a full tracker. We do think there is a basis in this settlement for a tracker in the future, but we know that there is significant electric investment required and our cost effectiveness is captured there. So we think that we will definitely be filing in 2020.
Jonathan Arnold: Great. Thank you very much, guys.
Rejji Hayes: Thank you.
Patti Poppe: Thanks, Jonathan.
Operator: Our next question will come from Greg Gordon of Evercore. Please go ahead.
Greg Gordon: Thanks. Good morning.
Rejji Hayes: Good morning, Greg.
Patti Poppe: Good morning, Greg.
Greg Gordon: Couple questions. I was just a tad late hopping on the call and I just missed hearing the rollup of the actuals for 2018 and you had commented that there was a reason as to why the corporate overheads came in higher than initially budgeted. What was that if you wouldn’t mind restating that, please?
Rejji Hayes: Yes, happy to, Greg. It was largely due to the significant amount of reinvestment activity both in the operating and non-operating sides. So in corporate, you’re going to have some of the non-operating related spend embedded in that. And so we took out at least two tranches of parent-related debt prematurely in 2018, $100 million remaining from our eight and three-quarter notes and then $300 million of the six handle note around midyear. And so a lot of those upfront costs flow through the corporate and other expense.
Greg Gordon: Okay. I know you’ve been just refinancing at a lower rate, or are you diffusing that debt permanently?
Rejji Hayes: Combination of both.
Greg Gordon: Okay. And so I guess I wonder why…
Rejji Hayes: Hang on, to be clear, sorry, just to circle back here, when you say diffusing, do you mean just taking out altogether...
Greg Gordon: Were you paying off or are you refinancing it?
Rejji Hayes: No, we’re refinancing, just to be clear. So we’re extending maturities at a much lower cost.
Greg Gordon: Okay. I guess what’s driving the – if that’s sort of a one-time expense to prepay the debt, what’s driving the assumption of a flat corporate overhead number this year?
Rejji Hayes: Well, the reality is we’ve been so proactive over the last several years in taking out, I’ll say, high coupon bonds that there really are too many opportunities left in the portfolio. So credit to Sri and his team for their wonderful prefunding efforts, but if you look at the rest of portfolio both of the parent and the operating company, you really see four and five handles and I don’t think we have maybe one six-handle left, but we’ve done a nice job. So, I don’t foresee too many opportunities to prefund at attractive level. So, that’s why we’re being fairly conservative in the year-over-year corporate.
Greg Gordon: Okay. And then my second question was your FFO to debt came in at 18.5% for 2018, you’ve told us the expectation is that’s going to be around 17% in 2019. What’s driving that delta? And do you expect movement in your FFO to debt metrics post 2019 up or down in any meaningful way?
Rejji Hayes: Yeah, I would say it’s a couple of things. And so first, we talked about the prescribed pace at which the effects of tax reform are being passed onto customers and so we initially assumed at the beginning of 2018 that we have an outflow around, call, roughly $200 million and that’s both sort of credits A and B to reflect the reduction in the current rate that flows through base rates from 35% down to 21%. And then we thought there may be resolution on the deferred tax-related refund to customers. That obviously has – was a little bit too aggressive in assumption. And so the fully adjudicated process will extend well into 2019. And so we had about, I’ll say, $150 million of upside from an OCF perspective in 2018, because the outflows back to customers did not occur during this year. Now, there is no P&L effect. But there certainly is a cash flow impact. So we expect there will be a headwind in the form of giving those dollars back to customers in 2019. And so that’s, I’d say, the largest source of the variance year-over-year. And then what you also see, two, is just the reality, as we’re increasing our annual run rate for capital investments. So we’re going from $2 billion a year at the utility to $2.25 billion and so funding that also has credit metric implications and we also still assuming, that the equity, ratio at the utility is at that sort of 52.5% level. And so that’s going to require infusions from the parent down there. And we do debt fund a portion of that. And so that’s really what’s driving us to that 18.5% or thereabouts down to, what I’ll say is approximately 17% in 2019. And we expect to stay at that level for the foreseeable future. Is that helpful?
Greg Gordon: That’s extremely helpful. Thank you. Have a great day.
Rejji Hayes: You too, Greg. Take care.
Operator: Our next question will come from Michael Weinstein of Credit Suisse. Please go ahead.
Michael Weinstein: Hi, good morning, guys. So could you talk a little bit about the equity issuance needs of $150 million a year? I guess that’s a long-term plan and how that differs from the $70 million, like what’s the increment between those two?
Rejji Hayes: Yeah, sure. So similar to what I described in terms of the variance in our FFO to debt metrics year-over-year, it’s really – it’s few things, Michael. It’s again the increase in our capital spend rate. So our run rate historically has been about $2 billion or at least over the last couple of years and now will be at $2.25 billion with an increase in the new five-year vintage of $11 billion in total. So assuming about $2.25 billion per year at the utility. So that’s going to drive our sort of leverage-related needs and our equity needs as well. And then again we’re assuming that our equity component of our rate-making capital structure will stay at 52.5%. And so that’s going to lead to fairly substantial equity infusions from the parent into the utility, most of which we fund with equity issuances. And so you have a couple things there. And then the other reality is to in 2018 again, we did not have a significant an outflow for tax reform back to customers as we had anticipated and so we didn’t issue as much equity in 2018. And so some of that will flow into future years. And so we assume again we’re going to – run rate will be about $150 million per year of planned equity issuance. We will be proactive about that as we can. So we did a good deal of forwards in the fourth quarter of last year, while we thought our stock was at a relatively attractive price and so we’ve taken a lot of the price risk off the table in 2019 and we’ll see where we end up going forward, but we think that that’s a reasonable level if you’re doing $150 million per year and you look at that as a percentage of market cap, we definitely think that that’s doable in an ATM program.
Michael Weinstein: Got you. And looking at the DIG slide, in the old slides, right, you had $75 million opportunity from a $7.50 capacity price getting out into the future and now it looks like it’s $95. Is there –maybe I just misunderstood why that I don’t know if you explain that before. Maybe could you explain it again?
Rejji Hayes: No, I mean the math that we have, it really is looking at just the potential opportunity that you would have. If you have either a local clearing requirement established in Michigan and we stink the jury quite literally is still out on that, or just given the tightening we expect in the bilateral capacity markets as you see inevitable coal retirements in the zone 7 and throughout the region and so the math is basically rolled forward a year. We’re assuming somewhere around $7.50 and that coupled with the extension and amendment of existing energy contracts with some of our big contracts. DIG is really what’s fueling a little bit of that incremental upside, but needless to say, we have not incorporated that into our plan. We are assuming what you see on the page here for 2019 about a run rate of $35 million of pre-tax income that we think will last for the foreseeable future. And as you probably noted in the table above, we really have derisked the portfolio a good deal, by amending and extending energy contracts and selling forward capacity fairly ratably over the last several months.
Michael Weinstein: So a lot of the upside – or a lot of the benefits, reason why it’s more stable for energy, there’s energy contracting, even though the capacity pricing has been softer.
Rejji Hayes: That’s right.
Michael Weinstein: That’s reasonable. Okay. Thank you.
Rejji Hayes: Thank you.
Operator: Our next question will come from Julien Dumoulin-Smith of Bank of America Merrill Lynch. Please go ahead.
Unidentified Analyst: Hey, good morning. This is actually Eric on for Julian. But I just wanted to ask if you could discuss progress on the IRP filing thus far, and what could drive further confidence in renewables spend beyond that $1 billion IRP through 2021 in the current plan, specifically with the remainder of the solar ITC safe harbor period in 2022 and 2023 ? Thank you.
Patti Poppe: Hey, good morning, Eric. We’re making good progress in the IRP, as I’m sure everyone knows where the first IRP to be filed and process here in Michigan. The hard work that we did to get lots of stakeholder input before we filed has made for very constructive discussions throughout the process, because it is a complicated process. We are planning on it and going to its full regulatory timeline, which would be first preliminary order from the commission in April and then a final order in June. And we’re looking forward to working through the remainder of that process. To your question about additional renewables to the plan, what we have in the plan right now reflects no additional incremental renewables as a result of the IRP that would be premature to do before we have a final order in that. So right now, what we have built into the plan is meeting the renewable portfolio standard through our RAP.
Unidentified Analyst: Thanks. And then just regarding 2022 and 2023, presumably I know you mentioned customer affordability type of equation, if you were to have supportive IRP result, could we potentially see incremental renewables spend in 2022 and 2023 supported by, say, lower fuel cost replacement and whatnot?
Patti Poppe: You know the driver for the renewables is demand on the system and what’s required both to meet the law, but also to meet the needs of customers for their demand for energy. There is – we do – we have published our time line of retirements of our coal plants and we also do have the retirement of the PPAs, but in the 2023 time horizon. The power of sales PPA that comes off doesn’t require additional capacity to backfill it. We’ve replaced it with energy efficiency, demand response and other sources in the short run. So I don’t think that would drive incremental renewables in that time horizon.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question will come from Ali Agha of SunTrust. Please go ahead.
Ali Agha: Thank you. Good morning.
Patti Poppe: Good morning, Ali.
Rejji Hayes: Good morning, Ali.
Ali Agha: Good morning. First question, just looking at your quarterly disclosure on weather-normalized sales. On the electric side, I mean the electric sales weather normalized were negative in three of the last four quarters, ended up negative for the year. Just wondering what’s kind of driving that and can you just remind us what you assumed for weather-normalized electric sales going forward ?
Rejji Hayes: Sure, Ali. I will not try to spend too much time on the soapbox around the imperfections and shortcomings of weather normalized math, but I do think that is flowing through the numbers, particularly if you take into account the stark contrast between weather in 2017 and 2018. So I would start there, but then as you look at just numbers that are on the page putting that aside. And so we are approximately 0.5% down blended for electric for 2018 and it’s really important to note that that customer usage level reflects our efforts to reduce customer usage year-over-year through energy efficiency, where we get compensated to do that. And so we’ve been at this for now about 10 years if you go back to the prior Energy Law in 2008, and so now it’s a 1.5% bogey, and we expect to clear that and we’ve cleared it the last year and we expect to clear it this year as well and so you’ll see that flowing through 2018. So what does that mean. So when you’re negative 0.5% on a blended basis for electric, if your gross it up, you’re about 1% for electric and so we still think that on a normalized load basis is comparable to what most folks are seeing across the country. And then if you peel the onion a little bit and you look at residential, it was down about 0.3%. So you gross that up, you’re up over 1%. Commercial was up about 0.3%. Again, gross that up, you’re down over – you’re up a little under 2%. And so we still see pretty good trends there and I think what’s also important to notice that, if you look at the economic conditions in our service territory, they still remain quite good, and so we always point to Grand Rapids, that’s in the heart of our electric service territory and you pick a metric whether it’s GDP, unemployment, population growth, building permits, all of those statistics are trending better than the national average. And so we continue to feel quite good about the economic conditions in our service territory. So, yes, the numbers I think on the surface may appear a little suboptimal, but again we think there’s a lot more to it. You asked about going forward, we assume roughly flat over the planned period at the utility, again, weather normalized and net of energy efficiency. So, I’d say, we’re – our expectations are relatively tempered and then the IRP, which spans over a longer period, we’re assuming about a quarter of a percent. So, again we plan very conservatively. And the last thing, I’ll say, is we also aren’t reactive when it comes to normalized load growth expectations. We have very prosperous economic development programs and Patty highlighted in your planned remarks that we hit 100 megawatts in 2018, up from 69 megawatts the prior year and so we really feel like we’re doing all we can to support economic development and our service territory certainly relative to other service territories across the country looks quite good.
Ali Agha: Okay. That’s very helpful. Second question, perhaps for Patti as well, I mean you’ve got a new Governor obviously in place now. By the middle of the year, you will have two new Commissioners out of three. Just wondering how you’re thinking about the regulatory framework in the state? And do you expect any changes once all of this is settled going forward?
Patti Poppe: Well, we are looking forward to learning the Governor’s plans on our current open position at the commission with Commissioner Saari and Commissioner Talberg there, that’s six more months of that quorum, and with the addition then of a new Commissioner, we look forward to that appointment. I would say that one of the strengths of the Michigan regulatory environment is that it’s captured in the statute and so our energy law that was passed originally in 2008 and then further improved in 2016 provides a lot of continuity in regulatory planning. And so we do have a great working relationship with the new Governor, many of her staffs are people we’ve worked within the past and so we’re quite optimistic that she’ll make great appointments to the commission and we’ll look forward to working with them, and like our track record has been independent of Commissioner changes, Governor changes, economic changes, weather changes, we have the core capability of adapting to those changing conditions. We have a lot of confidence in our ability to adjust and adapt as necessary.
Ali Agha: Okay. And lastly kind of related to that, my understanding is through because of term limits, there has been a fair amount of turnover in the legislature as well. As you look out over this session or even beyond, anything in particular for us to keep an eye on, or that you’re keeping an eye on anything that could either tweak or change the energy law in any way, any expectations on that front?
Patti Poppe: Well, we – you’re right, Ali. We have term limits and Michigan was a good concept in practice, it’s pretty difficult, because we do have a lot of turnover. The good news is, it took a lot to pass the 2016 energy law. It was bipartisan wide support. We have two strong committees in both the House and the Senate. We’re really excited about the leadership appointments in both the House and the Senate. And so, as far as we are hearing from the legislative leadership both from the Governor’s office as well as the Senate and the House, they’ve got other very important issues that need to be attended to, no-fault auto insurance, the road, education in Michigan are really taking top priority for the current legislature and the Governor. And we’re happy to work with them and help make those improvements, but I think the general consensus is the energy law that was passed in 2016 was a great and difficult body of work. And so, it’s really still in the implementation phase of that law and we don’t expect changes to it in the short run.
Ali Agha: Got it. Thank you.
Patti Poppe: Yep, you’re welcome.
Operator: Our next question will come from Praful Mehta of Citigroup. Please, go ahead.
Praful Mehta: Thanks so much. Hi, guys.
Patti Poppe: Hey, Praful.
Rejji Hayes: Hey, Praful.
Praful Mehta: Hi. So, maybe first just on this extreme weather events, right, whether it be 2018 summer or now the winter and this polar vortex, just trying to understand, if these kind of events continue, does that fit within the IRP and the load planning that you have, do you think it changes any of the infrastructure needs and does that change potentially the growth profile? So any color on that or thought around that would be helpful?
Patti Poppe: Well, so specifically on the electric side, if that’s what you’re asking about, the IRP, first of all, has the ability to be refiled every three to five years. So, if we start to see a material load difference, then we would plan accordingly. I will say that even yesterday, for example, where MISO had issues in the Midwest. We were plus 1,000 megawatts in Michigan of supply. So, our planned forecast IRP that we published, I think, reflects a very conservative perspective about being able to deal with the kind of peaks that occur on the electric system. And on the gas system, I think traditionally our system is well equipped and capable of serving this volume of load. Our interruption yesterday was driven by an equipment failure at our largest storage field, but normally under any kind of, even these extreme conditions, we would have been well equipped to serve that load. And in fact, yesterday morning, when we hit our peak load, our system works perfectly and we had ample supply and ample ability to deliver that supply and we’ve not had to curtail any residential customers even to this unprecedented weather events with the shortfall of our Ray storage field included. So, very proud of the team and how we’re handling the situation, but the system definitely is robust and prepared for the future.
Praful Mehta: Got it. That’s a super helpful color and great performance by infrastructure. So, that’s phenomenal. Maybe moving on, more on the financial side, the pension funding aspect in – you had $240 million in 2018, could you remind us is there any plan to have any incremental funding in 2019 that’s just currently in your plan, or is there any need to fund 2019 or 2020?
Rejji Hayes: Yes, there’s currently no obligation based on the funded status to fund the pension in 2019. We basically pulled forward about $100 million of required spend in 2019 through this contribution in December of 2018. So, I think at least for 2019, there is not an expected contribution. 2020, I don’t believe there’s one either, but we think that we derisk the plan most importantly, rather significantly by this discretionary contribution in 2018.
Praful Mehta: Got you. Thanks, Rejji. And then in terms of parent and other, obviously, there was a big move, just to understand that impact on parent and other, you clarified that this was mostly related with one-time costs of refinancing and taking out older debt with more obviously cost-efficient debt at the parent level. Is that the entire impact or are there other impacts at the parent level that we should be aware of?
Rejji Hayes: Well, I think in addition to the proactive refinancings, which have associated make-whole costs. I mean obviously every year because the business is growing and we’re funding capital investments, we will have incremental increases in parent debt, which is basically new money financing that we do each year. And so we did issue some hybrids in like a couple of tranches in 2018. So, you’ll see interest – incremental interest expense associated with. So that’s another source of drag that you see in the corporate.
Praful Mehta: Got you. And that 2019 level that you have, is that the expected level of interest expense at the parent and the EPS at the parent, is that expected to stay flat from there? Or how do you see the parent earnings going forward post 2019?
Rejji Hayes: Yes. I mean, well, remember you got a few things in there. And so we’ll expect incremental interest expense given the growth of the business. And so you’ll have that flowing through the parent and clearly that’s non-recoverable. We do have also a little bit of drag that we talked about in our Q4 call of last year and that’s because of the impacts of federal tax reform, where just the net deductions that you get at that level just aren’t worth as much as they were previously, but I think the other impact too is that we have EnerBank flowing through those numbers. And so that will also be impacting the parent and other expense, because EnerBank is a component of that. And as we always have talked about in the past, we do expect that EnerBank will grow in excess of the consolidated business. And see a little – you see that as a little bit of an offset of those other, I’ll say, sources of drag.
Praful Mehta: Got you. Thanks so much guys. Really appreciate it.
Rejji Hayes: Thank you, Praful.
Patti Poppe: Thanks, Praful.
Operator: Our next question will come from Travis Miller of Morningstar. Please go ahead.
Travis Miller: Good morning. Thank you.
Rejji Hayes: Good morning.
Patti Poppe: Good morning, Travis.
Travis Miller: I was wondering if you talk a little bit about some of the puts and takes, how you think you achieve that settlement deal when you’ve had some issues trying to do that in the past, what was the key with that settlement?
Patti Poppe: Well, I think there are a couple of things that were critical to the settlement. We’re very proud of the fact that we were able to settle that, but I think it’s a reflection of the quality of the regulatory environment. As we have mentioned over the last couple years with Chairman Sally Talberg at the Public Service Commission, she has done an excellent job of building the quality staff, nothing raised the bar for the quality of our filings, the request of a five-year electric distribution plan combined with the visibility that the commission and the staff had on our integrated resource plan. You can imagine their ability to see how our filing fits into those long-term plans is a much better way to do good regulation and make good decisions on behalf of the citizens of Michigan. So I would attribute it to a lot of hard work by our team to have good long-term plans. Our request by the commission to see those plans and have them be public, so that we can have good discussions with critical stakeholders and then a willingness to make good decisions together and have a settlement for the best interest of all customers. So, very happy with that outcome. I think it really sets the ground and the framework for future orders as well as future cases regarding our electric investment strategy and cost savings that we can pass along to customers through those filings.
Travis Miller: Okay. Great. And then one other on the whole electric rate case In general. What kind of distribution upgrades either in – that were approved in the rate case or future would be needed to integrate the level of renewables. Is there anything at the distribution level and perhaps how much and what would be needed in terms of grid upgrades to integrate?
Patti Poppe: Yes. Of course, that definitely will have a key eye on the distributed energy resources and how to integrate those into the grid. I would suggest in this filing, It’s more about the basic blocking and tackling of poles and conductors and substations, transformers, making sure that the equipment that is on the system is robust and reliable. Our five-year electric distribution plan is a $3 billion investment strategy that has more of the high technology attributes at the latter half of the five-year plan. So, including better visibility through SCADA systems on the distribution system, our ability to have control remotely, our ability to see the operations of the grid to do more looping and smart switching on the system, all of those investments are throughout the five-year plan, but more back-end-weighted. So, this specific settlement really is focused on the backbone and the basics of the electric distribution system. I often say you can’t put fancy whizbang technology on poles that are falling over. So, make sure we’ve got the poles secure. We’ve got the right conductor, transformer, substations and then we’ll bolt on the technology to the best service of customers throughout the distribution plan.
Travis Miller: Okay. Great. Look forward to the whizbang technology.
Patti Poppe: We do too. I know it’s going to make operating drill a lot easier, but first thing is first. Thanks, Travis.
Travis Miller: Thank you.
Operator: Our next question will come from David Fishman of Goldman Sachs. Please go ahead.
David Fishman: Hi. Good morning. Congrats on another solid year.
Patti Poppe: Thank you.
Rejji Hayes: Thank you.
David Fishman: Thanks. Just following up on the regulatory items that we’re talking about, it seems like when I was reading a little bit of staff testimony, it was actually pretty favorable with regarding earnings sharing mechanism. I know this is meant to coincide with a tracker. But I was just curious if this is something in a future filing, you might pursue separate from a tracker.
Patti Poppe: I think what we believe about this current electric rate case settlement is that this deferred accounting that we agreed to really is a first step in the direction of tracker – of a tracker for future filings. And so that again, comes with as we build trust. We have a tracking mechanism for example on the gas system for our enhanced infrastructure replacement program. And over the last couple years, we’ve done a great job of doing precisely what we said we would do and that gives confidence then to the commission that they can do preapprovals in a more routine formulaic tracking mechanism, but we’re quite satisfied with this outcome of the settlement and we think it foretells well future filings.
David Fishman: Okay. Thank you.
Operator: Our next question will come from Andrew Weisel of Scotia Howard Weil. Please go ahead.
Andrew Weisel: Thanks. Good morning, everyone. Just first I want to clarify something; I think Rejji answered in an answer to Ali’s question about demand growth. I think you said you’re expecting flat, maybe up a 0.25%, but in your Slide 16, you showed 1% growth from sales and economic developments. How do I reconcile those, is that purely energy efficiency?
Rejji Hayes: Yes. So, long-term over the five years, we expect flat to a 0.25% for growth. So that is first and foremost. I am referring to the five-year period, but this page often, I think, is a source of confusion. When we talk about sales growth and the simple perhaps unique model slide, Slide 19 that you reference, we’re not suggesting that long-term we’re expecting 1% sales growth. What we’re talking about on that page is how much sales growth contributes to the self-funding strategy. And so when you look at the pieces, we say cost reductions two to three points. That means cost reductions fund half of our capital investment or rate base growth to alleviate the burden to customers. And so sales is a component of that equation as is tax planning as is non-utility contribution. And so those are the pieces that allow us to fund about three quarters in aggregate of our rate base growth. So we can keep total rates, customer prices, bills at or below inflation and so it’s a little bit difficult to fall the way it’s positioned on that page. But we’re not implying 1% growth in long term.
Andrew Weisel: Got it. Okay. And then just to follow up on the sales side, any updated thinking with marijuana now legal, have you seen any activity around Grillhouse’s increased demand, and if and when this could turn into a meaningful driver or could it add complexity of demand unexpectedly spikes in house or warehouse, without you guys getting sufficient warning?
Patti Poppe: Yeah, those are all great questions. And we are working on evaluating what the effect will be from what we’ve seen from other jurisdictions anywhere from 1% to 4% additional load as a result of the legalization of marijuana has been experienced elsewhere. We’re not forecasting that in our plan yet at all. The regulations are still being defined and clarified, and they are slightly different than other states. We are the only state in the Midwest and so there is a potential that it could be a driver here. We’re actually working very proactively to identify who those growers would be. We’ve had inbound contacts from large growing entities that want to come and locate here and – which is great because if we have advanced notice, then we can plan where best to place that new quickly growing loads. So we definitely haven’t built into anything into our plan. But we are actively working with the growing community to make sure that we are prepared to serve.
Andrew Weisel: Great. And then one just last one here in terms of the gas storage. So obviously you’ve asked customers to conserve usage during this cold snap. My question is, how are gas storage levels going into this week’s polar vortex, and in the past, have there been instances where the reservoirs ran dry or close to it, and how did that work mechanically?
Patti Poppe: Yes, no, we had ample supply. In fact, our storage fields were perfectly prepared and ready to serve even peak demand that’s early in the season. So certainly we have abundant supply. If a day like this happened in April, that would be a challenge to the system, because our annual cycle is to draw off the field throughout the winter season. However, we had ample supply. The disruption at our Ray storage field was the equipment that is able to then deliver the stored gas to the system. And so that’s where the bottleneck was yesterday and today, but it certainly wasn’t lack of abundance of gas. We have some of the largest naturally occurring storage fields in the nation, in the continent right here in Michigan, and so we have ample supply, it was just a matter of getting it distributed effectively.
Andrew Weisel: Great to hear. Stay warm, I see mixed and feels like it is negative 32 in Jackson. So I guess I can’t complain about five degrees in New York. Good luck.
Patti Poppe: Yes. We’re definitely setting records in demand. There is no doubt about it. Yes. Thank you.
Operator: Our next question will come from Shahriar Pourreza of Guggenheim Partners. Please go ahead.
Shahriar Pourreza: Hey. Good morning, guys.
Patti Poppe: Hey, morning, Shahriar.
Shahriar Pourreza: Apologize if this was covered, it’s unfortunate to harp on a little bit late. Just in your sort of IRP discussions right now that you’re going through. Is there sort of any dialog or any movement around potentially earning on the PPAs? I mean I know obviously your interest would be to own, but is there still an option right now turn on the PPAs?
Patti Poppe: Yes. And if you read the staffs filing, they did not have object to the earnings mechanism. They just had a different formula, which yielded a much lower earnings mechanism on top of the PPA, but like all things, that has definitely opened for negotiation. The staff also filed that we would be able to own 50% of the supply. So there’s lots of room, I would suggest. What I appreciate very much is that all of the stakeholders have been working together for the best integrated resource plan for Michigan. This is a long-term plan. It has long-term ramifications. Some of the current methods of people being able to, for example, purpose solar being added to the system at uncompetitive prices not in the best interest of customers, even though we are fully supportive of additional solar being added to the system. So we think that integrated resource plan has created a great framework. Our willingness to offer a market-driven avoided cost calculation through competitive bidding creates the open platform for this earnings mechanism, so that a developer who is leveraging our balance sheet. The cost of that impact on our balance sheet is adequately reflected in their bid is we think a very constructive framework and we like the direction of the conversations that have been happening here with all the critical stakeholders. So I would suggest that we’re making good progress.
Shahriar Pourreza: And then just want to confirm this is incremental to your plan, right, so when you think about your planning inceptions on how you guide. This is something that would be incremental?
Patti Poppe: You know, we would say, yes, it would be incremental. But don’t forget, we always are working toward that 6% to 8%, right, and so everything we do is in for the purpose of solidifying our consistent, repeatable, reliable performance. And so all of these outcomes add up to a total picture, it is predictable in total and that’s what we know you love about us and that’s what we really work toward every day.
Shahriar Pourreza: Noted. And then just one last question, Patti, and then it’s a little bit of message left more of a minor, question is just around not getting the tracker, at least potentially punting it. Did that impact at all as you think about your 10-year plan that we’ll see very shortly. Did that impact the profile of the spend at all?
Patti Poppe: No, because, again, we’re pretty happy about the agreement and the settlement, because it does create a framework for our long-term trackers, but we didn’t plan on long-term trackers. We don’t object to coming in annually and describing what our spend plan is, and that in fact allows us to be more adaptive to changing conditions. And we’re pretty satisfied with that arrangement. So we were very happy with the outcome of the settlement and not to say we wouldn’t appreciate more formulaic rate making, but we are all Okay standing up to the scrutiny of an annual filing as well.
Shahriar Pourreza: Okay. Great. Thanks so much. All my questions have been answered. Have a good one.
Patti Poppe: Great. Thanks. Thanks, Shahriar.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. At this time, I’d like to turn the conference back over to Patti Poppe for closing remarks.
Patti Poppe: Thanks, everyone, for joining us this morning. And we’re bundled up here in Michigan working to stay warm. We hope you are where you are. We look forward to seeing you on the road.
Operator: Thank you. And the conference is now concluded. We thank you for attending today’s presentation. You may now disconnect.